Operator: Welcome to the Curtiss-Wright second quarter 2008 financials conference call. (Operator Instructions) For opening remarks and introductions, I would now like to turn the call over to Chairman and CEO, Martin Benante.
Martin Benante: Welcome to our 2008 second quarter earnings conference call. Joining me on the call today is our CFO Glenn Tynan; who will begin our forum today; Glenn.
Glenn Tynan: If you do not have a copy of the earnings release, which was issued yesterday, please call Ms. Deborah Torrey at 973-597-4712 and she will be happy to email or fax a copy to you and add you to the Curtiss-Wright distribution list for all future press releases. Before we begin, please note that we will make certain forward-looking statements on today's call such as statements about the company's competence and strategies or expectations about the results of operations, future contracts or market opportunities. While we believe that our operating plans are based on reasonable assumptions, we cannot guarantee that we will meet any expectations that might arise from these forward-looking statements or their underlying assumptions. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Security Reform Act of 1995 and involve the risks and uncertainties that may produce results or achievements that are materially different from those expressed or implied during this discussion. Such risks and uncertainties include those factors that generally affect the business of aerospace, defense, electronics, marine and industrial companies. Please refer to our SEC filings under the Securities and Exchange Act of 1934 as amended for a more through discussion of risks and uncertainties as well as further information relating to our business. For our agenda today, I will provide an overview of Curtiss-Wright's second quarter 2008 operating performance and then Marty will discuss our strategic markets and full year outlook. After the formal remarks we will open the call for questions, so let's get started. Curtiss-Wright had consolidated sales of $454 million during the second quarter of 2008, an increase of 24% over the second quarter of 2007, including solid organic growth of a 11%. Our organic sales growth was driven by contributions from all three segments including 11% of flow control and metal treatment and 10% at motion control. From a market perspective our commercial markets grew 36% overall and 14% organically including 36% organic growth in the commercial power generation market and 18% in the oil and gas market. In addition our defense business grew a healthy 6% organically in the quarter led by 18% organic growth in ground defense and 17% organic growth in aerospace defense, partially offset by lower naval defense due to the timing of their procurement cycles. In our Flow Control segment sales increased 39% due to strong organic growth of 11% and the contributions from our 2007 acquisitions of Benshaw, Swantech and balanced systems and controls. From a market perspective, the sales improvement was primarily driven by strong organic growth in our commercial power generation and oil and gas businesses slightly offset by lower sales to the U.S. Navy. Primarily submarine and aircraft carrier work due to the timing of the procurement cycles. The strong commercial markets are also evident in Flow Controls backlog, which is 80% commercial and 20% government at June 30. In our Motion Controls segment sales increased 13%, the majority of which was organic. The key driver was strong sales to the aerospace defense market driven by higher sales on the F16, F22, V22, Global Hawk and various military helicopter programs. In addition we had higher sales of embedded computing products to the ground defense market primarily for the Bradley Fighting Vehicle. We also had solid commercial aerospace OEM sales primarily on Beoing programs, which were partially offset by lower repair and overhaul sales due to the divesture in the quarter of our third party on our business. In addition we had strong sales of the integrated sensing products to the aerospace defense market. Motion Controls backlog is balanced with approximately two thirds government and one third commercial at June 30. Sales in our Metal Treatment segment were up 11% from the prior year, all of which was organic. Higher sales to most of our commercial markets including commercial aerospace, power generation and general industrial as well as the aerospace defense market including helicopters all drove double digit growth. Partially offsetting the strong performance in those markets was continued softness in the automotive market. Our consolidated operating income of $50 in the second quarter of 2008 increased 29% over the prior including 25% organic growth. The organic operating income growth was driven by our Flow Control segment, which experienced a very strong organic growth of 95% and our Metal Treatment segment with 15%. Our consolidated operating margin in the second quarter was 11%, was a 50 basis point improvement over the prior year and resulted from strong segment performance. Flow Controls operating income improved 112% overall including an exceptional 95% organic growth in the quarter as compared to the prior year. Operating margin improved 330 basis points overall including 460 basis points organically in the quarter versus in the prior year quarter. The prior year quarter included non-recurring costs overruns on our developing program for the Navy, CVN-21 carrier program and business consolidation costs. Overall our commercial businesses are generating strong margins while our defense businesses are at lower than normal margins due to the lower procurement of our traditional Navy work and higher development work on the CVN-78 and the DDG 1000 programs.
turret stabilization systems: Operationally, demand for our Embedded Computing and integrated censing products produced solid results that were partially offset by strategic R&D investments by our Embedded Computing Group. In our Metal Treatment segment, operating income was up 15% from the prior year generating an 80 basis point margin improvement, all of which was organic. Our higher sales volume overall including a large project for Westinghouse in the nuclear power market drove the sold performance. Consolidated net earnings of $27 million or $0.60 per diluted share for the second quarter of 2008 equates to 27% growth over the prior year. This bottom line performance was achieved despite absorbing a 41% increase in corporate pension expense and 26% increase in interest expense. New orders received in the second quarter of 2008 were $877 million up 141% from the prior year quarter and our backlog reached a new record level of $1.7 billion up 34% from the 2007 year-end. Overall, our book-to-bill ratio was 1.9 times in the second quarter. In addition for our Flow Control and Motion Control segments approximately 80% of the second half year sales are in our backlog as of June 30. For the second quarter our free cash flow defined as cash flow from operations less capital expenditures was $55 million versus $49 million in the prior year primarily due to working capital improvements specifically in accounts receivable and inventories. Depreciation and amortization was approximately $19 million and capital expenditures were approximately $23 million during the second quarter. As noted in the press release we’ve increased our 2008 free cash flow guidance to be in the range of between $90 million and $100 million. Our balance sheet remains strong with $85 million in cash, working capital of $403 million and total debt outstanding of $510 million as of June 30, 2008 for a net debt-to-book capitalization of approximately 30%. I will now turn the call over to Marty to discuss our strategic market performance and full year guidance.
Martin Benante: Thank you, Glenn. I’m very pleased to report our strong second quarter performance, which is the results of the strong demand for our advanced technologies as well as the robust markets that we operate in. A lot of the equity margins have been quite volatile. I think the anxiety some observations have of future events has caused them to under estimate the strength of our products, technologies and markets today and in particular our strategic diversification. Starting with defense, which represents just over one third of our consolidated revenues we achieved a solid increase in revenue of 6% in the second quarter and 8% year-to-date. Our defense revenues are fairly balanced between aerospace, ground and naval platforms. In the second quarter a ramp-up in aerospace defense of 17%, was driven by increased sales across the board including the F-22, F-16, V-22, Global Hawk and military helicopters. Starting with defense, which represents just over one third of our consolidated revenues we achieved a solid increase in revenue of 6% in the second quarter and 8% year-to-date. Our defense revenues are fairly balanced between aerospace, ground and naval platforms. In the second quarter a ramp-up in aerospace defense of 17%, was driven by increased sales across the board including the F-22, F-16, V-22, Global Hawk and military helicopters. Starting with defense, which represents just over one third of our consolidated revenues we achieved a solid increase in revenue of 6% in the second quarter and 8% year-to-date. Our defense revenues are fairly balanced between aerospace, ground and naval platforms. In the second quarter a ramp-up in aerospace defense of 17%, was driven by increased sales across the board including the F-22, F-16, V-22, Global Hawk and military helicopters. The Navy presents a challenge in the short-term as our U.S. naval revenues were down 10% in the second quarter and 3% year-to-date primarily due to the anticipated and previously indicated low point in the procurement cycle for the nuclear submarine and aircraft carrier programs in which we have significant content. Long-term we see opportunity with the Navy. We expect to receive funding for The Virginia Class Submarines beginning in the fourth quarter of 2008 and we expect the procurement strategy to ramp up to a multi shift buy in the 2009, 2010 timeframe. Similarly in the CVN aircraft carrier, we expect the next orders to be getting in 2010. This subjects an inflection point in our revenues as early as 2009 or 2010 on the out side. In addition we have greatly enhanced our Naval defense portfolio with new content on the helicopter landing systems that support a number of surface ship programs in the U.S as well as foreign militaries and the development in production work on the Destroyer program is betterly progressing. In the commercial markets our 36% growth reflects double-digit organic increases in our energy market and solid contributions from our 2007 acquisition. All of our 2007 acquisitions are performing well and according to plan. Starting with the commercial nuclear power market, we generated 36% organic growth in the second quarter largely related to this follow-up of the AP1000 China program. In May we announced another award from Westinghouse in excess of 300 million followers for the new domestic construction of three power plants, the first new nuclear plants build in the United States in 30 years. The awards include an option for a fourth power plant and there are currently three more plant for a total of seven AP1000 plant that are either in the licensing process currently or expected to be in the near future in the U.S. Internationally Canada, South Africa and the U.K are also giving strong consideration to new nuclear power plants constructions. There is plenty of growth to come in this new construction market, because we’ve only begun tapping our portfolio all over 150 products with the initial product being our reactor coolant pumps, which are long lead items procured in the very early stages of the procurement cycle. In the oil and gas, the high price of oil and the resulting increase in capital expenditure by the refineries is driving strong demand for all of our products, which makes the efficiency secondary processing more attractive, as all of our aftermarket services due to high utilization rates at the refineries. In particular, our coke and de-heading valves continues to be the market leader, generating some strong growth in the second quarter, which equates to a 34% global market share in the bottom valves. Most recently, we were awarded the largest single contract for 10 tops and bottom coker valve for installations in India. In addition, we continue to make progress, developing the market for our isolation valves and cutting tools. We currently have eight isolation valves installed and 14 more in-progress. In June, we sold our first cutting tool. Our 2007 acquisition Valve Systems and Controls is performing well with record quotation levels. The combination of their control systems with our coker product has created a complete system solution for our customers and we continue to grow our position as a market leader in this area. Demand for our systems package, has been accelerating and should provide good growth opportunities looking forward. Finally, it’s particularly noteworthy within our oil and gas portfolio that our pressure release valves continue to be an impressive contributor. Our portfolio of pressure release valves have been in high demand from the overflow of global processing market including oil and gas production, refining as well as chemical, petrochemical, industrial gas and pharmaceutical markets and international demand is accelerating as a percentage of total sales, which is a trend that we expect to continue. Major petrochemical projects are being built outside the U.S. primarily in the Middle East and Asia, which is the accretive reason we’ve established our presence in China, both from a proximity to customer and lean manufacturing strategy. As a final note on gas and oil, I wanted to provide an update on our subsea pump. This unit is in route for the platform. After deployment (Inaudible) will make the flow line arrangements and electrical connection; it will be integral for a couple of months before all production will commence. Beyond nuclear power and refinery, we are proud to be participating in ultimate energy technologies to the addition of our 2007 acquisition of Benshaw. In particular, we we’ve been working with UTC, on geothermal power generation where we provide a control box for the electric motor and marine and machine control. Commercial aerospace is also up slightly 10% year-to-date. The market dynamics are somewhat hampered by large new programs coming online slower than anticipated such as the A380, 787 and Eclipse and conservative in demand forecast are going forward. Year-to-date our OEM work is up nearly 20%, but repair and overhaul and spares were definitely limited by market dynamics. Third party repair work has never been a core business for us, as a result we divested our third-party overhaul and repair business in May. We will continue to provide product support to Boeings and our airline customers. On a go forward basis, commercial aerospace after-market will be less than $20 million. We are excited about the growth in other areas of commercial aerospace. We have discussed our Rotor Ice Protection Systems or RIPS previously as the only fully automated technology certified by the major world governing agency to enable safe helicopter flight to know ice condition. Our initial market customer is Sikorsky and we have sold approximately 80 systems to date on the S-92. We’ve also been selected by Sikorsky for their S-76B helicopter. Most recently we’ve been awarded the contract by Korea Aerospace Industries to provide free of ice protection electronics to protect the engine, air inlets, windshield and main and tail rotor blades on their new utility helicopter. We expect to start delivery in 2009 in support of the qualification of efforts and ultimately this contract can extend a dozen years. Initially, it’s for military helicopters, but there are discussions in support of other military variations and commercial aircraft as well. To wrap up my remarks today I’d like to reiterate how pleased we are in our performance in the first half of 2008. We estimated that less than half of our sales would occur by this point in the year. In fact we have locked in approximately 47% to 48% year-to-date, so we are on target and as in the past expect a ramp up in the second half of the year. In addition we have delivered approximately 42% of our targeted earnings per share guidance year-to-date, which is inline with our expectations. As noted in our press release, we are maintaining our full year’s guidance for revenues, operating income and earnings per share. We have increased our expectation for free cash flow. We do not expect to generate material revenues on the recently received domestic AP1000 contract until 2009; with qualification testing on the initial pump order for China is well underway. Overall, 2008 is shaping up to be another very good year for Curtiss-Wright and now I’d like to open up the conference call for question.
Operator: (Operator Instructions) We’ll go first to Myles Walton with Oppenheimer & Company.
Myles Walton - Oppenheimer & Co : Questions for Glenn; on the cash flow guidance is that increase primarily off the advances from the nuclear orders in the quarter given there are no other adjustments in the guidance.
Glenn Tynan: Partially and partially due to working capital improvement anticipated.
Myles Walton - Oppenheimer & Co : Okay, and Marty you mentioned some of the progress you’re making on the RCP not just the manufacturing side, but that the quality test could you give us some flavor for the calendar in terms of major milestones, risk reduction, getting kind of your feet through that process the first time by which time you’d feel more comfortable with the outlook, not only your manufacturing ability, but you’re pricing and such?
Martin Benante: Well, Myles as you know we’re building our new building which we will include our test rigs. Right now we are building the first pump. We anticipate that the test rigs will be ready first quarter of next year and we’ll start our qualification testing. So, I think by the middle of next year we’ll have a better understanding of where we are as far as the program as a whole.
Myles Walton - Oppenheimer & Co : Okay that’s helpful, and then with respect to the other equipment, I think the other major piece is the control rod drive mechanisms that you’re looking to compete on the $81,000 and there’s also ancillary products that you’d selling into any of the power plants. Can you give us some perspective on the lead times that are involved on those two products that you sell?
Martin Benante: The lead time for our control rod drive mechanisms and which would also be at EMV and the release values which would be at a target rough. The request for quotes we should start seeing them somewhere in the 2009 timeframe for an award either in late 2009 or early 2010 and that will happen and you’ll start to see as 2010 goes on, we will see more and more request for quotes on some of the other hardware that we have.
Myles Walton - Oppenheimer & Co : Those initial RFP, RFQ’s in ’09 are for the China and then it just would maybe take into 2010 for those looking to build in the U.S.; is that the right way to think about it?
Martin Benante: I think so, yes.
Myles Walton - Oppenheimer & Co : Okay, and the sales guidance remains unchanged here, organic strength in the first half is was obviously pretty good. Just conceptually, the way we’re looking at your guidance is that fair to think that you’re feeling really good about sales and then maybe you’re going to be fighting a little bit harder to make some of your initial margin targets?
Martin Benante: Well, I think first of all you have to look at the fact that we did sell our Miami unit and that was $0.03. Between and among the A380, the 787 and it equips program that shaved another few cents off of our guidance; it’s not material but all of these other things do add up. From a very positive note obviously we’re doing extremely well in all of the markets that were in and the thing is that the build up of the new pumps for the aircraft carrier and also the AP 1000 is revenues and more profit as we continued to get into the milestone schedules, that we’ll be able to see in the second half. So its not that we’re that concerned about the profitability going forward. It’s just that like most of our years in particular this year is very similar to what we’ve experienced in 2004, that we’ve got about 42% of our earnings per share in the first half and we’ll get the remainder in the second half. The third quarter will be a little bit less than the second quarter by a few cents and then we’ll finish it up with a strong fourth quarter.
Myles Walton - Oppenheimer & Co : Okay and what was the size of the Miami cell you divested?
Martin Benante : That was about $25 million in sales, somewhere in that area.
Myles Walton - Oppenheimer & Co : And then last one, there is talk of in the press and Washington about the plans for Naval services destroyer construction and potential switching of priorities from DDG-1000 to DDG-51 and just wanted to know from a hypothetical perspective what that means pluses and minuses for Curtiss-Wright?
Martin Benante : So, with those retrofit changes to these DDG 51 and if we’re successful, our revenues would almost be the same, so we would see very little impact all for the destroyers change if there is one and I think everybody has to think that a lot of this in the defense bill, there’s going to be a lot of speculation between now and when it finally gets past. So, I don’t think that the DDG-51 being switched to it is going to hurt us that much if anything. So, with those retrofit changes to these DDG 51 and if we’re successful, our revenues would almost be the same, so we would see very little impact all for the destroyers change if there is one and I think everybody has to think that a lot of this in the defense bill, there’s going to be a lot of speculation between now and when it finally gets past. So, I don’t think that the DDG-51 being switched to it is going to hurt us that much if anything.
Operator: Our next question comes from Chris Donaghey, SunTrust Robinson Humphrey.
Chris Donaghey - SunTrust Robinson Humphrey: On the commercial nuclear business you now have I think about 42 pumps under contract and that’s excluding the options. If you go back to the investor presentation from the 2007 analyst meeting, it showed kind of a forecasted production rate somewhere between six and seven pumps a year, starting at around 2010 and it’s my understanding if I remember correctly that the facility itself that you’re building is going to have capacity of about 16 pumps a year, so can you just kind of walk us through if you can what you think the build is going to look like over the next few years?
Martin Benante : I think the volumes might be a little bit better than the six or seven years starting in 2010, 2011 timeframe. Based on the demand that have been expressed by the U.K. where the Prime Minister Brown commissions eight new plants and saw that there was no upper limit to the amount of plants that Brittan will produce in the future; South Africa, Canada additional demand in the United States; I think that obviously the requirement for additional pumps is going to improve steadily. As far as the capacity is concerned, we’re going to build capacity to meet the demand; there is no doubt about that. So, there are ways of improving capacity by doing some work around in other portions of our plant, but if we are building as a test move that would increase the productivity. So, I don’t look at that as being a little bit back there. I think we’re well suited right now for what's anticipated in the nuclear industry for the timing being.
Chris Donaghey - SunTrust Robinson Humphrey: And then my question is more along the lines of are you going to have enough capacity at only 16 pumps a year if Westinghouse really becomes one of the primary dominant suppliers and especially, if the Chinese can’t develop the industrial base to build the pumps themselves, to some extent it almost seems like you could end up in a situation where your capacity constrained granted not within the next two or three years, but a little bit further out.
Martin Benante : Yes, but the thing is we’ll build more capacity and another thing to understand is one thing about, we’d have the technology, so the thing is that we will aid our customers in whatever they are looking for and the thing is if it takes another investment, obviously the investments we're making compared to the prices and size of the contracts we’re getting; it’s a small incremental increase even though it seems like a lot of money compared to the amount of future dollars that are associated with those pumps.
Chris Donaghey - SunTrust Robinson Humphrey:
Martin Benante: About $20 million, but most of that is for our own proprietary design product.
Chris Donaghey - SunTrust Robinson Humphrey: And then the last question is on the oil and gas market, with some of the production issues out of Mexico for the heavy mine is that having any impact on your Texas exposure number one; and number two do you have any visibility yet into what the Southeast plants are for heavy crude refining capacity?
Martin Benante: The answer as far as the amount of production that’s being processed by refining reasonable things that the Mexican situation is going to, it’s not the fact that we can’t find the oil; the thing is we find a lot of crude oil, which can only be refined by cokers and secondary processes such as that; we’re now finding the light oil. So, as far as that’s concerned I don’t see any change; that’s why they’re building so many new programs throughout the world on new cokers and as far as Southeast, no; the answer is we do not know that right now.
Operator: Our next question comes from Eric Hugel with Stephens Incorporated.
Eric Hugel - Stephens Inc.: Just a follow-up on Chris’s question; is the main deriver of sort of like the oil and gas refinery upgrade; I mean is it just sort of their margins are being squeezed so they need to offset cost; I mean is that how we should think about it in addition to additional units being put in?
Martin Benante: Well, the thing is that additional units are being put out throughout the world. So what maybe somewhat restricted in the United States and which we already have most of the markets may not have been restricted in foreign countries which is now where a lot more of the new coker customer’s are being looked at and you also have to remember because every five years they have to go and rebuild their coker systems, which allows them at that particular point in time to make it crossover. So, if they haven’t made their crossover yet and they’re still going to get five, four more years had a productions on the current things that they have and then in four years when they have to rebuild that, that would be a natural time to switchover, so we don’t see the demand for our coker products going down and I haven’t seen it go down, in facts it’s going up.
Eric Hugel - Stephens Inc.:  That’s great. So there is a natural cycle that this they will progress, because over a let’s say a relatively five year period, it’s a pretty easy sell for you guys when they’re taking their cokers down to sort of have this equipment put on?
Martin Benante: Without a doubt and knowing that’s the cokers that we have equipment on, that will be refurbished which is going to also the additional revenues, incremental revenues and profitability that we have not really seeing, because that situation really hasn’t come up in a large scale yet.
Eric Hugel - Stephens Inc.: And that pretty much has to do that they can’t sort of not do that they would blow up their plans right?
Martin Benante: That’s, correct. You have to refurbish them based on the amount of cycles you put on those things.
Eric Hugel - Stephens Inc.:
Martin Benante:
Eric Hugel - Stephens Inc.: I guess from my conversations in the past, I guess what you said is you aren’t really going to start to build non China coolant pump until 2009 and that’s because you’ll have it constructed and then start building it or you’re going to wait longer until so you get further down the quall.
Martin Benante: No, we just got orders for that and we have to get the raw material in before we can make it. Right now we have raw material in from China. We’re progressing and going forward on China.
Eric Hugel - Stephens Inc.: So, really the pacing item is your long lead times in getting things that’s not really wanting to have a pump sort of qualified before you go and start building?
Martin Benante: No, because certain aspects of the pump are design changes that we’re well familiar with and I think is the reminders of the pumps can be made, basically with almost no risk. So, it’s not like it’s holding it’s up, it’s the long lean materials that take a long time to get in. These are not small piece and they are built specifically, obviously for us, so that’s what takes the time. The time is to get the raw material and then we start into the production cycle.
Eric Hugel - Stephens Inc.: What would be sort of that longest sort of lead time item type of up, is it the castings or forgings I mean?
Martin Benante : Yes.
Eric Hugel - Stephens Inc.: Okay, and is that domestic, international, where do you get it; is there only one supplier pretty much?
Martin Benante : Pretty much, yes it’s more domestic.
Eric Hugel - Stephens Inc.: Okay. Is there opportunity for additional suppliers to come onboard that could squeeze that lead time?
Martin Benante : Right now we’re not anticipating that. It’s not so much the lead time because realistically we start so far in advance, a nuclear build cycle. I mean it just takes that long for the licenses to be approved and the plant goes, that’s put on of order. Now when you look at just the construction, the foundation is before these things streaming on, so we have more than enough lead time between knowing when something is coming in to start the cycle and to be able to manufacture the pumps in the required period of time.
Eric Hugel - Stephens Inc.: One of the name of the countries that you left off your list was India, I guess you just made progress?
Martin Benante : There is some nuclear, there is some regulation problems there. So, I don’t think -- we do now and we’ve indicated that India has a large requirement for nuclear power plants and I guess just there’s just some regulation processes that have to go through between the United States and India for us to be able to participate in that market.
Eric Hugel - Stephens Inc.: So, I mean I guess my understanding is the Indian government just sort of approved this treaty. It’s going to get approved by the IEA and nuclear suppliers group pretty soon and then hopefully congress will prove the treaty. Sort of once that goes through have you had any sort of preliminary, sort of discussions with Westinghouse because I know they’re in discussions with India about how that market might look; would it be more potentially like a China deal where you would have to do a technology transfer agreement or might you build those pumps internally or is that just completely not been resolved yet?
Martin Benante : That has not been resolved at all, yes.
Eric Hugel - Stephens Inc.: Okay, fair enough. Can you give us an update with regards to laser peening, sort of where you are in terms of -- first of all I guess how are the things going with the new Boeing laser and sort of any other additional sort of contract wins that you had during the quarter?
Martin Benante : No, we did solve the laser at Boeing; things are going fine going fine; production started in May and right now we have not had any major win on laser peening since the last quarter.
Eric Hugel - Stephens Inc.: Okay. With regards to the RIPS business, I guess one thing that I was just sort of thinking; I mean you’re on the S-92, now the S-76; I would think that a kind of obvious application would be on the military side for you like Black Hawk. I mean huge opportunities here. Can you sort of give us maybe a little more granular sort of opportunity; I mean is that retrofitable to something that’s already sort of flying today or could only go on newly build aircraft and sort why wouldn’t you be talking to guys like, Sikorsky for things like Black Hawk or other major military programs?
Martin Benante : Some of the Black Hawk’s are being built but the options need could to be put into it and the thing is as you know the Black Hawk is going through major overhaul and we’re hoping as those overhauls a big place that we would be installing the RIPS options and then you’re able to put the system in later on.
Eric Hugel - Stephens Inc.: So it would be certified to go on that aircraft; should we get certified on a specific helicopter or it can just pretty much go on differently.
Martin Benante : No, it has to be certified to its specific helicopter because there are some nuances. It’s basically the same box but there are some nuances associated with each individual helicopter.
Eric Hugel - Stephens Inc.: So, you are certified right now for the Black Hawk?
Martin Benante : No we are not. That’s what’s we’re hoping to take place.
Eric Hugel - Stephens Inc.: In relatively near term? What sort of timeframe would one expect that?
Glenn Tynan : We don’t know,
Martin Benante : Don’t know right now.
Operator: (Operator Instructions) We’ll go next to Steve Levinson with Stifel Nicolaus.
Steven Levinson - Stifel Nicolaus: Just in terms of the coke de-heading valves, do you have a sort of market size estimate and with the refurbishments going forward do you see potential for this to sort of reach a steady growth state and is that in the teens or the twenties?
Martin Benante : No, right now it’s been in the teens and 20s. I mean this is a business that since 2002, started out at $5 million and we’re well over $100 million right now and we continue to see a strong demand for the product, so the markets keeps growing because the amount of crude oil and the thing is that right now there are 700 cokers in the world and there are another 50 coming online. So the market size will be about 750 cokers of which right now I think the bottoms we have 32% of the market, and that’s the bottoms and not the tops. The thing is that people have to start thinking about this business from a system standpoint. We saw a system solution now. We have 1000 systems and controls, we have to control package. We’re starting now to put together the isolation in-house, the cutting tools. We now sell really a system solution, not just the valves. So, the valves definitely is in the mainstay of what we’ve been doing and it will probably continue for a period of time, but I think these overall system will eventually be more desirable for our customers, just as much as they dealt about this.
Steven Levinson - Stifel Nicolaus: So, that means there’s actually potential for a little acceleration here?
Glenn Tynan: Yes we’ve indicated that during the conversation that we are receiving a lot of quotations not only for the DeltaValve but also for other upgrades within plants that would improve the safety of the plant.
Steven Levinson - Stifel Nicolaus: Great. Thanks. On the reactor coolant pumps, I know there are some special materials required; how do you see the supply situation there. I know I’ve spoken to a few of the suppliers; they seem to the adding capacity; are you all in sink?
Glenn Tynan: Everybody is in sink. Everything is going fine.
Steven Levinson - Stifel Nicolaus: And on the on A350, with a lot more of the plant being made on a composite, do you see the metal treatment opportunity there more on the engine parts or there are still some metal parts and actuators? Will you think you’ll be able to get contact in that? Again where do see things for Curtiss-Wright and composites?
Glenn Tynan: Well, again aero planes are being built out of composites and we still continue to grow, which says that the requirements for all the sundry items, which is were we have most of our work anyway in all of the gears or most of the gears and highly stressed parts, we will continue the shopping and also laser peening. Now as far as some of the wing components are concerned not all of it is composite, some of it is still metal. So as time goes on and just in all industries, these items become, transmission become more and more stressed. We continue to find additional market growth in those areas. If you take at look at MCI right now, the automotive is down 12%, but yet when you look at agriculture with the amount of increase in food production especially with corn you use as ethanol, we have a good market there, we just set a nuclear project and one thing that most people don’t realize since it’s been a while, was as the nuclear radar thong takes place there is a more additional shot-peening requirement on a nuclear power plant. We do a lot of the pipes and the joints and things like that. So, composites will come in and other opportunities will come up.
Steven Levinson - Stifel Nicolaus: It sounds good. On the M&A pipeline what do you see, what’s on your wish list?
Martin Benante : We see some good activity out there. We see some companies than we are -- I think we can very good technologies to our portfolio and mostly in the commercial area right now. Couple of military, but mostly in commercial and we see some very nice companies out there.
Steven Levinson - Stifel Nicolaus: Any particular sector?
Martin Benante : No comment.
Operator: We will go back to Myles Walton with Oppenheimer and Company.
Myles Walton – Oppenheimer & Co: On the nuclear side back in September at the Energy Analyst Day you’d talked about the three year outlook for revenue or actually the longer term outlook for revenue there and just in the near-term it was $60 million in ’08, $70 million in ’09, $110 million in 2010; relative to now having pretty much all the backlog under your belt at least on the RCP side of the house, are those targets holding or are you running above those targets?
Martin Benante : We’ve think 2009 will be a little bit better than that obviously as far as the revenues are concern.
Myles Walton - Oppenheimer and Company & Co:  Okay I guess a follow-up and then last question on M&A; what are the size of those deals that you’re looking at this point in time?
Martin Benante : Well, within our capacity to handle them.
Myles Walton - Oppenheimer & Co: Okay, no other colors on that? How about inline with recent deal action?
Martin Benante : Inline with recent deal action?
Myles Walton - Oppenheimer & Co: Inline with your historical deal prices?
Martin Benante : Yes.
Myles Walton - Oppenheimer and Company: And then the last one backlog and bookings by segment, I guess Motion Control and Flow Control if you can just give me those two?
Glenn Tynan : Sure, for Motion Control backlog is about $580 million and for Flow Control is about $160 billion. Do you want the new orders as well?
Martin Benante : If you look at backlog for Flow Control, right everybody looks at the pumps and if you were to take out acquisitions and you were take out the pumps they still would have grown 19%. It shows you that the real demand for some of our products outside of what everybody things that they were the pumps that made the backlog to grow, well it had a major impact, but at the same time we have demand for a lot of our other power products.
Myles Walton - Oppenheimer and Company: No, I thing that’s helpful and it looks like Motion Control book-to-bill, that was pretty good too 1.3 was there larger bookings in the quarter in that?
Martin Benante : Well, the thing is when really take a look at our embedded computing, sales there grew year-over-year 20% actually our profits went up greater than that, censers are growing at almost a 20% equipped, so over and above the aerospace I mean the embedded computing and censors are doing extremely well.
Operator: Finally we have no further questions on the phone at this time. I’d like to turn things back over to speakers for any additional or closing remarks.
Martin Benante: Thank you. I want to thank everybody for participating with us today and we look forward to our third quarter conference call in October. Well thank you very much and everybody take care.